Operator: Good afternoon, my name is Steve and I will be your conference facilitator today. At this time I would like to welcome everyone to the Live Nation’s fourth quarter and full year 2007 earnings conference calls. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks there will be a question-and-answer period. Before we begin, Live Nation has asked me to remind you that this afternoon’s call will contain certain forward-looking statements that are subject to risks and uncertainties that could cause actual results to differ. Please refer to Live Nation’s SEC filings for a description of risks and uncertainties that could impact the actual results. Live Nation will also refer to some non-GAAP measures in this call. In accordance with the SEC’s Regulation G Live Nation has provided a full reconciliation for the most comparable GAAP measure in the earnings release on their website. The release reconciliations and other financial or statistical information to be discussed on this call can be found on www.LiveNation.com under the [inaudible] section. It is now my pleasure to turn the call over to Mr. Michael Rapino, Chief Executive Officer. Sir, you may begin your conference.
Michael Rapino: Good afternoon everyone and welcome to our 2007 year end conference call. On today’s call I will provide you a summary of Live Nation’s strategic and financial progress as well as an overview of what you can expect from us in the year ahead. Kathy Willard, our CFO, will then provide commentary on our financials for the fourth quarter and the full year. First, we are the leader in a growing business and we believe our outlook is outstanding. We are in a strong strategic position to continue to build on our success and capitalize on our vertically integrated platform as we lay the groundwork to take over our ticket in only 10 months. We believe the live music industry is health and expanding with 10% compounded annual growth rates for the last 10 years. There’s no question the live music is the one shining star in the music business as major artists are looking to live music for 50 to 90% of their earning potential. As a global leader in live concerts we are the number one business partner for artists worldwide and we believe we can leverage this position to expand into complementary businesses with the artist. In 2007 we demonstrated tangible results in executing our first two phases of our plan which were aimed at transforming Live Nation into a vertically integrated live music company while improving our financial results and overall operating efficiency. We believe Live Nation today is a significantly stronger organization strategically and financially than just one year ago. Our business strategy is crystal clear to create a vertically integrated distribution platform that capitalizes on the live experience and directly unites artist, fan and sponsor across all revenue generating products from onstage to online spanning tickets, food and beverage, merchandise, fan club, websites, live content, BBB’s, VIP access, sponsorship and many other direct onsite revenue opportunities. Historically we have only had one meaningful participation in the revenue stream and that was at the live event. Our expanded platform changes that by unlocking multiple new revenue streams. Our business model is driven by four core drivers, our global concert platform including tickets and venue revenue, our digital media and e-commerce platform which now has a growing Internet portfolio driven by ticketing, our global artist division which provides artists with integrated programs to build relationships with fans and drive revenue, and our sponsorship division offering sponsors a fully vertically integrated experience from artist to fans. Let me step back and summarize what we achieved in the past 12 months. First I’m pleased to report that our live music business is strong and our fundamentals continue to improve. In 2007 we served over 45 million music fans, 1,500 artists and more than 15,000 music events across 18 countries. We are the leader in a growing business that now serves the primary revenue driver for major artists. Despite facing tough comparables and a softer concert season in 2007 we achieved overall pro forma adjusted ORDAN of 198 up by almost $80 million versus 2006. This is in large part due to the improvements we made in the core live music business. Specifically we set out to do five things in 2007. First was to continue our asset realization plan to the divestiture of a variety of non-music assets we sharpened our focus on our core music business. Most recently we completed the sale of substantially all of our North American theatrical business and since the beginning of 2006 we have divested assets for total gross sale proceeds in excess of $260 million. At the same time we invested in optimizing our venue portfolio both in North America internationally which we believe will improve our growth profile going forward. Our second priority in 2007 was fixing the core North American music business after five years of decline. We made solid progress in turning around the performance of our amphitheater operations by more effective profit driven booking strategies and cost reductions. We improved our food and beverage per head for the second straight year achieving $12.16 per fan through a focus on improving product quality and whole dollar pricing. These effects have proven successful as our amphitheater pro forma adjusted OIBDAN margins improved by almost 5% in 2007 compared to the prior year. In turn overall pro forma adjusted OIBDAN margin in our North American music business increased 1.2% in 2007, an incredible feat. Our third priority was consolidating our global platform. We achieved notable progress in 2007 with regard to consolidating and building out our global platform and expanding our global touring competency through midsize venue expansion, global platform expansion and touring expansion. Fourth was to solidify a ticketing platform. We took steps to secure control of our ticketing platform. This will allow us to own the customer interface while providing significant revenue growth opportunities especially with regard to sponsorship and e-commerce. And our last priority was to build out our new revenue division, Live Nation Artists, and sign one major artist which we accomplished with Madonna. Now let me turn to 2008 for an outlook. We currently expect 2008 to be another healthy year for the industry. We are not seeing nor do we expect to see any significant impact in our business from the economic slowdown. In the year ahead we are focused on the following priorities, continue to move aggressively to divest non-core assets, continue to increase profitability at our core North American operations, ensure that the build of our ticketing business is complete for launch January 1, 2009, add more artists to our Live Nation Artist roster at all levels from increasing merchandise partnerships to signing fully integrated deals, and finally build and solicit global national sponsors for our new platform. I’ll now take you through our core divisions and give you a summary of the highlights for 2008. Our core business which is the foundation to our business model which provides the 10,000 plus concerts a year and 1,000 artist relationships is the piece of the business that provides incredible barrier to entry and provides the foundation for us to unlock new value. Our North American international business is being our core business we will continue to seek to better monetize our audience by further improving the profitability of our live music operations. Our goal in 2008 is to continue to execute on our amphitheater initiatives and extend them to the rest of our North American operations. This will include a focus on cost reductions on both fixed and variable, driving ancillary revenues mostly through food and beverage and expanding our live platform both through global markets, midsize venues, House of Blues and festivals. With respect to our concession contract a major driver of our North American business we continue to hold discussions with Aramark and other companies and remain confident that we will replace our current contract with one that is more beneficial to Live Nation from both a revenue and margin standpoint. Our new division over the last two years is our ticketing online business. We believe that our ticketing platform will offer a compelling growth opportunity by leveraging our 20 million annual control tickets that our core business generates. We believe that we can unlock value by entering the direct ticketing business at a relatively low entry cost. Combined with our leadership role in live music ticketing is a key component of our integrated platform and our ability to drive higher margin streams. Our collection of websites peak at nearly 12 million unique visitors monthly. We currently service over 400 artist websites. All in all we have built a formidable online presence. However when we add full ticketing function to our online presence principally through LiveNation.com we believe that we will strengthen our growth potential significantly. Through our long term agreement with CTS the second largest ticketing company in the world we will launch our own global ticketing business in 2009. Through this partnership we have secured a technology advance best in class ticketing engine while avoiding heavy capital investments in software. Offering our own ticketing platform will complete our vertical integration from artist to fan and remove the final barrier between Live Nation and the millions of fans we serve. As previously stated we expect that simply taking ticketing in house and recouping 100% of the service charges will improve the profitability of our concert business by generating an incremental $15 million in adjusted OIBDAN in 2009 which will increase to $25 million in 2010. It is important to note that these assumptions do not include any impact from various additional prospects our ticketing business will provide. These added revenue streams will be ancillary product sales, owning the ticket gives us the opportunity to drive ancillary product sales, spanning from fan clubs, DVDs, t-shirts, VIP passes. Our second opportunity of growth through being in the ticketing business will be soliciting third party customers. Our ticketing platform will provide us with the opportunity to pursue ticketing agreements with third party venue. Live Nation has strong relationships with over 650 third party venues that will gradually roll of their existing ticketing contracts. We believe that a value proposition based upon content and ticketing which Live Nation will be equipped to deliver in a leadership position translates into an attractive alternative for our third party venue partners. And the final piece of revenue that will be driven by our ticketing business is in secondary markets we currently do not participate in. We intend to build our presence in the secondary ticketing market and capture incremental revenue through the collection of service fees on secondary tickets which are often sold at a significant premium to face value and dynamic pricing structures aimed at helping sell previously unsold inventory. The overriding principal of revenue that will be driven by our online Internet group is online advertising which we currently do not participate in. By controlling our ticketing inventory it will power our Internet portfolio and provide a platform that opens up new web advertising opportunities. Our third division that has come out of our core business is our Live Nation Artist division. By leveraging our relationships with over 1,000 artists annually generated by our core business we have the relationships base to offer artists more services and products that we now have in house. Through Live Nation Artists we believe we can expand our revenue line and build on the base of over 300 artists that Live Nation Artists currently services. We believe our Live Nation Artist model is the future of the music business. Through internal development and selective acquisitions during the past two years we significantly expanded the number of revenue driving services we can now provide to the artist. In December we purchased Signatures network a global leader in the music merchandise business. Signatures has master licenses with more than 150 artists including many of the top performing artists in the industry today. Through Signatures as well as resources such as Music Today, Anthill Trading and Trunk we now purchase an array of revenue streams built upon the live event and as mentioned before the ticket purchase. These services span artist merchandise, fan clubs, tour websites, VIP tickets, live concert streaming, DVDS among other. They are all valuable components of the artist business model today and into the future. Given the changes that have taken place in the music industry and expanding emphasis on the live event artists are searching for more efficient ways to manage and maximize their diverse rights. Through our Live Nation Artist division we believe that we can deliver an unprecedented package of services built around our gateway to the fan and increasing the sponsor value proposition. That’s why Madonna signed with us, that’s why we expect sign more high profile and proven artists in 2008. We are currently in discussions with several major artists at this time. We offer a partnership based on highly transparent and predictable revenue streams in an industry going through a major transition. Through these diversified rights partnerships we expect to build cross-collateralized opportunities in which both the artist and Live Nation benefit from higher margin revenue streams. And the final division that will drive incremental revenue for us is our sponsorship division. Our triple platform of concerts, tickets and artist rights support another key component of our business and that is sponsorship. By adding ticketing, extending our direct access to fans and broaden our relationship with artists we believe we can better tap into the multi-billion dollar global advertising market. Right now we only drive $100 million in annual revenue from over 500 sponsors. As a whole the advertising industry totals nearly $400 billion with music sponsorship being the industry’s fastest growing segment. We think this represents a fantastic opportunity for Live Nation given the unique value proposition our platform now provides to sponsors. With close relationships with over 1,000 artists, large scale global fan reach and vertical integrated live music laced platform we offer a robust solution to sponsors that is second to none. Going forward the key to our sponsorship strategy will revolve around our ability to develop deeper relationships with artists. We are pursuing dynamic multi-year deals that incorporate multiple aspects of our platform. These multi-product deals on average generate close to three times the revenue as a standard sponsorship agreement. In addition to existing multi-platform deals with [inaudible] Communication, AT&T and Nokia our recently announced deal with Citigroup marks a major step in this business. We are providing Citi customers with multiple avenues to connect with their favorite artists including presales, preferred tickets and exclusive merchandise. In exchange we gain access to a national footprint of over 150 million credit card accounts which we believe will drive incremental ticket sales. To conclude we believe that Live Nation’s integrated business model which unites artist, fan and sponsors around the live music experience is the future of the music industry. As the year unfolds we think that the benefit of Live Nation’s unique business model will become increasingly clear as we build on our leadership position and prepare to take control of our ticketing in 2009. As I mentioned we believe this year ahead will be another healthy period for live concerts and we are well positioned to benefit from that. We currently expect to host tours in 2008 to place Jonas Brothers, Van Halen, JayZee and Mary J., Tom Petty, Tim McGraw, Toby Keith, just to mention a few. We believe we can continue to show improved OIBDAN from our core business as we benefit from additional efficiencies and cost reductions. Throughout the year we will update you on a broad range of initiatives including our progress in signing additional artists to our Live Nation Artist model, building our ticketing e-commerce capabilities and maximizing our asset base and securing additional sponsors. I will now turn it over to Kathy to discuss the financial results.
Kathy Willard: Moving to our results, for the fourth quarter of 2007 our adjusted OIBDAN on an actual basis was $32.6 million an increase of $11.8 million over the same period in the prior year which represents a 3.2% margin. On a pro forma basis which includes all of the acquisitions and divestitures completed through the end of the quarter are adjusted OIBDAN was $34.3 million represented a 3.3% margin. Adjusted OIBDAN increased $5.1 million or 17.2% compared to the same period last year. The increase in pro forma adjusted OIBDAN was primarily due to improved North American music amphitheater operations and cost savings realized from the 2006 House of Blues acquisition, improved results for international music promotions and a reduction in operating expenses due to the conversion of employee bonuses from cash to stock. These improvements were partially offset by the shutdown of The Point in Ireland for expansion and global artist reductions due to reduced touring activity and increased costs to build the Live Nation Artist platform. For the full year our adjusted OIBDAN on an actual basis was $180.9 million an increase of $24.8 million over the same period last year which represents a margin improvement of from 4.2 to 4.3% in 2007. On a pro forma basis our adjusted OIBDAN was $197.7 million an increase of $7.6 million or 4% versus last year’s results of $190.1 million. Our adjusted OIBDAN margin improved to 4.5% on a pro forma basis in 2007 compared to 4.3% in 2006. The increase in pro forma adjusted OIBDAN for the full year was primarily due to improved North American music amphitheater operations and cost savings from the House of Blues acquisition, improved international music promotion and festival operations offset by reduced results in North American music arena and third party events, the shutdown of The Point for expansion and global artist reductions due to reduced touring activity and increased costs to build the Live Nation platform. I’ll now provide you with a quick overview of the main drivers in each of our segments. North American music pro forma adjusted OIBDAN increased $20.6 million for the fourth quarter and $24.3 million or 45.95 for the year. The fourth quarter and full year increases were due to improved amphitheater operations, cost savings realized from the acquisition of House of Blues and bonus payments for employees will be paid in stock instead of cash. These increases were partially offset by reduced arena and third party promotion activity results. International music pro forma adjusted OIBDAN increased 24.7% during the fourth quarter and 7.5% for the full year primarily due to stronger results at several of our festivals in the United Kingdom and improved promotion activity in several European countries partially offset by a reduction due to the shutdown of The Point for expansion. Global artist pro forma adjusted OIBDAN decreased in the fourth quarter and the full year in line with our expectations. This was due to a decline in global touring activity during 2007 along with the investment made in building the Live Nation Artist division during that year. This reduction in touring activity was expected as the 2006 season was a very strong touring period. Global digital pro forma OIBDAN decreased in the fourth quarter and only slightly for the full year as expected due to increased salary, maintenance and consultant expenses related to our internal information technology group and our website management. Turning to some other financial metrics, capital expenditures were $49.4 million for this quarter. Of this amount $14.5 million was associated with maintenance expenditures and the remaining $35.4 million was from revenue generating projects including the renovation of The Point, the purchase of additional land where our Wedding Festival is held and the wiring of our venues. For the full year capital expenditures totaled $116.8 million. Of this amount $45.2 million was associated with maintenance expenditures which was less than the amount spent in the prior two years. As of December 31, 2007 our reported cash balance was $339 million and our debt and preferred stock totaled $863 million. We estimate our free cash balance, that is our total cash after excluding event related cash for future shows, was approximately $85 million. Looking at 2008 we are focused on the continued execution of our strategic plan and the strengthening of our integrated platform. While it is still early overall we currently expect a healthy concert season in line with 2007. For the full year we expect to generate modest growth and adjusted OIBDAN and also expect to invest this growth back into our ticketing, digital e-commerce and Live Nation Artist initiative. As we previously noted we expect our ticketing initiative to have a $15 million negative impact to 2008 adjusted OIBDAN. Given the progress we’ve made over the past two years and our current investment plans we currently believe that we will be in a position to deliver strong OIBDAN growth in 2009 and beyond. With that I will open it up to questions.
Operator: (Operator Instructions) Your first question comes from David Kestenbaum of Morgan Jason.
David Kestenbaum – Morgan Joseph & Co., Inc.: Michael, can you just talk about some speculation in the market about AEG doing a deal possibly to sell 49% of themselves to The Garden and Ticketmaster. How you think that might affect the industry?
Michael Rapino: It was the first question. I guess imitation is the greatest form of flattery. We think it just supports what everything we’ve been saying for the last year that the live music business is just the incredible hot piece of the music business right now. Everybody wants to figure out how to get control of that concert and ticket to build upon their business model. If those rumors are true and there’s investments made into a competitor like AEG I think it, one, it validates the frenzy around the live music business. I think it validates the frenzy that says content plus ticket is the king. And we have great respect for all three of those companies and I’m sure they’ll continue to be a great competitor but we’re very confident that we are ahead of the curve in the industry right now because we’re not talking about change, we have an infrastructure that can execute the new business model today and now it’s about just moving forward and fine tuning the model and finishing the pieces to keep maximizing the revenue.
David Kestenbaum – Morgan Joseph & Co., Inc.: My understanding was that you were provide guidance at one point and I guess you kind of gave kind of vague guidance, but as we think about the base on OIBDAN for 2008, should I be thinking well $198 million was your pro forma number and then you subtract out the $15 million for ticket cost and then $11 million I think for the theater sale, so about $172 million is the base as we go into 2008. Is that the way to think about it?
Michael Rapino: Yeah, directionally. I think we believe that first of all we’re very proud of the results we’re reporting today so we think we delivered exactly to the dollar on plan that we delivered to the Board a year ago. So we are absolutely on plan. We’re ecstatic that we grew organically. I mean the North American performance is just outstanding. The margin growth, the organic growth to fix that core business – as I said a year ago if we didn’t fix the core we couldn’t build upon it. So a real testament to the team and Jason Garner who built and rebuilt that division. So we’re very proud that the core is after five years of decline the hockey stick is going in the right direction and we’ve got great growth, great new fundamentals to build upon. So we’re very proud of our foundation and I think we’ve kind of given you guidance that says we will grow the business again organically in 2008 so we’re not asking you to hang tight while we don’t grow it. We’re trying to provide growth but we have said that that growth will also come back and we’ll reinvest that growth back in to cover our ticketing online investment. You know, one growth forward to cover the cost of the investments going forward.
David Kestenbaum – Morgan Joseph & Co., Inc.: And then as far as global artists, you said last year was kind of a light year, 2007. How does 2008 look in that perspective and also when can you expect Madonna to tour? I guess her album is coming out sometime at the beginning of the year and I guess that’s the question.
Michael Rapino: As we said to most investors that asked the question, the core concert business, there’s enough history in our books now and in Pulstar to show you that there is not going to be a sizable change both from a positive or a negative from our core business. We don’t go to sleep worried that we’re not going to deliver 10,000 shows and provide the foundation to our base. But you are right, the difference between a little headwind or tailwind is whether we have three global tours, two or one. As of right now we could say it looks like we have cobbled together one meaning The Police are back out again this year. They won’t tour the entire year like they did in 2007 for a complete comparable but if you kind of added a Van Halen and a Police together right now you could say, okay we are at worst case comparable to 2007. If we get lucky Madonna or some other superstar will wake up over the next few months and decide to tour in the back half. We have not had any confirmation on Madonna’s plans yet. She does have an album out and we, like you, would hope that she decides that 2008 is the year that she’ll tour but no reports from the camp on that yet.
Operator: Your next question comes from Mark Wienkes of Goldman Sachs.
Mark Wienkes – The Goldman Sachs Group, Inc.: Just to clarify first on the guidance question, the reinvestment will come in through the op ex line so the reported EBITDA that you’re talking about will be the – like if we used $197 as the appropriate base less the $15, but I thought the $197 was already pro forma for the theater sale?
Kathy Willard: No, the pro forma includes all acquisitions and divestitures through the end of 07 so it does not include the Ovation sale which happened in January 08.
Mark Wienkes – The Goldman Sachs Group, Inc.: And the on the first growth driver for 2008, can you provide some more specific examples as to how you’re applying the lessons learned from the improvement in the North American amp business to the smaller arenas in 08?
Michael Rapino: Well, they’re not smaller arenas. The second most important piece of our North American business is our arena business.
Mark Wienkes – The Goldman Sachs Group, Inc.: Smaller venues?
Michael Rapino: Yeah, we kind of consider amphitheaters and arenas the same size in terms of the type of artist that plays them. So in 2007 we focused on the amphitheaters and really booking them more strategically centralizing the booking process, driving food and beverage, driving onsite execution. We do have some great fixed costs and booking strategies that we now know we can implement on how we book those. Remember although the amphitheaters drive an incredible amount of profit they only tend to be somewhere between 900 and 1,000 shows that we do in North America. We then do a few thousand arena shows of the Tom Petty natures, big artists Boston Arena kind of levels. So it’s our second largest EBITDA business is providing all of these great venues around America with 30, 40 shows a year. So we’ll take some of those disciplines and booking strategies and cost reduction strategies and spread those into our arena and what we call club and theater booking. Basically just taking our amphitheater learning and applying it to the entire division in all 10,000 shows and running a tighter ship from top to bottom on how we buy everything not just the 900 shows.
Mark Wienkes – The Goldman Sachs Group, Inc.: And the promoter compensation is aligned?
Michael Rapino: Yeah, [inaudible] was the big start on getting them aligned. In 2007 we had incredible morale, the momentum was amazing, we had all of our top revenue producers agree to abandon their individual bonuses and align behind the 2007 North American total number and it just amazingly drove the entire organization around one goal of making sure that we hit in North America $74 million which was the magic number that they all worked towards and we achieved it. So now we’ll continue to revise compensation around amps, arenas and total picture.
Mark Wienkes – The Goldman Sachs Group, Inc.: And then one last one, I promise, could you just provide a range as to how much you think the Citi sponsorship deal could be worth or how much it might matter and then are you going to use this a template for other verticals?
Michael Rapino: The second part is absolutely true. We think it’s a great template that says corporate America is very excited about the music business. Historically because of the closed distribution nature of the industry, whether it was the way records were sold or the way tickets were sold, they had very peripheral participation in the business. They’re very excited about working with companies that open the door and say do you want some tickets, do you some t-shirts, do you want an exclusive single for your business model? And we’re getting great response. We obviously can’t talk about the number on Citigroup I would just say that we had an incredible credit card category takeoff. Everybody was wildly excited to participate. We have great respect for American Express we worked with in the past. We won’t say the size of the number, we could just say to you by having the new platform and selling the music platform versus two years ago we would have walked in and said do you want a motorsport event, do you wan an amphitheater, do you want a theater, all mismatched products that we have taken our credit card category deal and increased it 200 to 300% in terms of our participation.
Operator: Your next question comes from John Blackledge of JP Morgan.
John Blackledge – JP Morgan Securities, Inc.: First on guidance, I know the two previous analysts have hit it, in 08 what will the drivers be and it’s off of $172 just to clarify again, it’s off of $172 and which segments are driving? Are you going to see, I think North American music was much better than we thought in the fourth quarter, you guys did a great job there this year. I know there was obviously a focus for you guys and are we going to see incremental kind of gains again in EBITDA in 08 there and then I have a couple follow ups.
Michael Rapino: I think we’ve got to clarify that $172 that’s escalating away here. They’re already just breaking in the $15 million ticket reduction –
Kathy Willard: Right.
Michael Rapino: We kind of look at it slightly the same but a bit different. Take the away the theater business off the core so we get that, our stated goal, it would be fabulously if we can grow the business in some modest low numbers in terms of 8, 9, 10% on a basic base which would try to cover as much as we can of the incremental $15 is the intent for the year. Now we might have a range of if we grow it $10 million or do we grow it $15 million, but our goal would be can we cover the $15 million fixed cost investment in online group through organic growth. And that will the range that we would be participating in this year. Does that help you any?
John Blackledge – JP Morgan Securities, Inc.: Yeah, that’s definitely helpful. On the global artist side, I know you talked about in the press release and in your prepared remarks looking to sign more artists, I’m wondering over the next 12 months how many would you be looking to sign, how many would be of a Madonna type of magnitude from a total dollar amount, upfront payment and length of contract and how many would be smaller type of deals?
Michael Rapino: We don’t have that level of detail for you. Just by virtue of superstarism there’s a few Madonnas in the world period so that pool is fairly small. We’d love to have another superstar of that nature. But we’ve been very clear from day one that that isn’t a quantity division, our portfolio today is one over the next year if it grew to five or six that would be a big target so that’s kind of the range. And Madonna, there’s probably two or three artists that live in the Madonna economic size of deal world and then there are the next superstars who wouldn’t have that level of touring or revenue business, so it would require smaller deals.
Operator: (Operator Instructions) Your next question comes from David Joyce of Miller Tabak.
David C. Joyce – Miller Tabak + Co., LLC: Couple questions, today Cablevision mentioned that they bought theater in Chicago, is that something you’ve looked at and would you still be interested in adding venues throughout the US or are you more interested in adding venues internationally?
Michael Rapino: Our real focus in the venue would be a House of Blues venues. Those are really the only almost high priority venue that we would own or – and most of the times we don’t own, we don’t want to put the capital to buy real estate in major markets, most major market tenants are wildly excited to give us a long term lease to run a House of Blues in their complex. So House of Blues are a high margin business for us, incredible worldwide brand and we think that is probably the most valuable brand in all live music in a smaller size venue capacity. So House of Blues would be a continued priority, the rest of venues period whether they’re Filmores or midsize, we’re always looking to take over management deal leases in major markets around the world as we did in Holland with the Heineken Music Hall last year which is the premier 5,000 seat venue in Amsterdam an incredible competitive advantage. So we’re not looking to use our capital to buy real estate, our core business is about our scale around our artist portfolio. As I’ve always said there is more artists than there are venues so the artists have incredible power. But where we can find the right venues in the right markets with the right revenue stream return we would always look at a long term management lease if we can bring value to it.
David C. Joyce – Miller Tabak + Co., LLC: Another question on the global artist Live Nation Artist division, how should we think about the margins there? Was the investment in the platform to make those services available to artists, is that investment largely behind you now or is there still some more to go?
Michael Rapino: On the infrastructure?
David C. Joyce – Miller Tabak + Co., LLC: Yes.
Michael Rapino: Yeah, we’ve said that don’t believe that there’s always tuck-in acquisitions but we have assembled the execution machine that no one in the world has anywhere close to right now with our music today, our CPITNA touring division, our merchandise division now, our DVD division, our broadcast division and our sponsorship division, we have an incredible service platform in that division that is built out now. Maybe the odd tuck-in, if there was the right company that added some new value but generally our large investments in that division are over. We’ll continue to build the infrastructure and add the experts on the fixed cost side but the real capital that will be used for that is really the artist’s rights advance payments that we put up front when we find the right artists.
David C. Joyce – Miller Tabak + Co., LLC: And finally, you mentioned it looks like the touring level this year would be comparable to last year, I guess that implies you have decent visibility into the summer because wouldn’t one of the recurring concerns here is with the recession in the US and economic growth slowing internationally is there any hesitancy or more immediacy towards the concert date of actual buying the tickets?
Michael Rapino: We’ve analyzed this inside out, we’ve looked just in industry data for 20 years that Pulstar has and you can look at the 93 and the 81 you can look at so called recessions or downturns in the economy in history, doesn’t seem to be any data that would suggest an economic downturn has any effect on the concert revenue business. Internationally or Canadian wise I have had no indications from any of my regional presidents around the world who are selling tickets right now for Jonas Brothers and Tom Petty just went on sale, incredible counts, Van Halen’s on fire, The Police is on fire, Rush, so we haven’t seen anything yet from anybody that would suggest the tickets are showing any reflect on the economy. Now our theory is simple, the average consumer only goes to 1.5 shows a year. We’re not in the quantity business of other consumer categories where you bought eight but maybe you’ll buy six now and we believe that 1.5 show a year is a pretty important fabric to your social scene and that 1.5 times a year you will continue to find the dollars to go and get out and rally behind that band you want to see. We don’t predict in our business model and it would have been an easy one to use right now, but we are very confident that the economic downturn will not be a huge headwind to our revenue this summer.
Operator: Your next question comes from Jeff Shelton of Natixis.
Jeffrey Shelton - Natixis Bleichroeder: A few questions, I was hoping you could expand your comments on M&A to talk about the international markets, that’s the first question. Second question what was the magnitude of the bonus conversions in the fourth quarter and is that type of payment expected to continue into 08 so similarly as it was in 07? I guess you mentioned a $74 million magic number for 07. Do you have one for 08? And last question would be how should be thinking about capital expenditures in 08 if we strip out the incremental $20 million for ticketing, how should we be looking at the trends there?
Michael Rapino: I’ll start and then I’ll pass to Kathy. International markets Alan Ridgeway now back in London, we’re continuing to look as we just announced in this last month our acquisition of a leading international promoter in Dubai. We will continue to look at the international markets, as you know from our numbers international is somewhere in the 7 to 8% margin business, it’s a higher margin business. There are still some incredible good markets around the world from South America to Australia to Germany to Japan and some tuck-in markets in Europe that provide great opportunities. So if we can find the right market with the right partner at the right price we would continue to expand our global platform.
Kathy Willard: As far as the Venice conversion it was approximately $13 million of expense in 2007 that was converted from cash and stocks. As far as 2008 we’re still evaluating and don’t have that number to share with you at this point. On cap ex, you can expect maintenance to be about the same level it was in 07 and the company is still evaluating the revenue generating projects. But if you exclude ticketing based on projects that we have ongoing like The Point and a couple of House of Blues clubs development and a few other projects, it’s not unreasonable that we’ll be about in the same ballpark in total expenditures based on what we see right now.
Michael Rapino: And yes we would continue on the bonus front, we obviously are not going to give you our exact magic number, but yes, every division would have a magic number right now around their driver. And again I just want to reiterate the incredible shift in internal alignment this year is why the machine is starting to work after many years of fragmented agendas. North America we historically had started the year with 50 to 100 different employment contracts from various promoters around the country which were all, when we started the year not one of them was tied to EBITDA, not one of them was tied to $74. We had an incredible team just not pointed in the right direction and we had an annual very large cash expense on bonuses that were kind of guaranteed for showing up well in the excess of $30 million in terms of planning. We started the year and Jason and the team by saying we have to unite as a team around an agenda to be great and we ripped up employment contracts while [interiorily] reassign these contracts through all the leaders wanting to jump on one agenda to win and finally fix North America and we’re ecstatic that we wanted to get our lead promoters invested in our company from a stock perspective, we want them to care about the big picture both from a value perspective and an EBITDA, so we ended up paying out bonuses in stock which is the good part. We now will be able to have some invested employees but the real important part if we aligned them around the target and we dramatically reduced the number we actually paid out from a historical perspective. So that $30 million and plus planning that we would have paid out historically when we aligned them around targets and EBITDA we ended up paying considerably less in our fixed cost reduction plan but more importantly got them aligned around the right agenda. And we will continue to look to get people aligned around our key metrics on EBITDA and OIBDAN growth, corporate EBITDA growth and we’d love to continue to reward them in equity.
Operator: Your next question comes from Tuna Amobi of Standard & Poors.
Tuna Amobi - Standard & Poors: I apologize if you had commented on this earlier because I’m joining a little late, but Michael, the question is for you, I wanted to know what gets you to look at the longer term prospects of the industry, kind of a bigger picture question, where do you see the organic growth coming from? Because clearly I think if you look back over the past few years, I think there’s an argument that there’s been obviously some cyclical peaks and valleys and I thought it was interesting, your comment that data does not suggest that the industry is vulnerable to recession which I, but was somewhat curious, so I guess as you look out over the next five years or so, what is that gets you most excited about the live entertainment industry? Clearly you guys are in a very sweet spot being the largest operator and I see a lot of scale coming from the efficiency gains and cost cutting, but organically is what I’m trying to focus on here and any color that you can provide would be helpful.
Michael Rapino: I will do my best in a short time so we can wrap this up because we have outlined this continually on our core strategy. Organic to start with, we’ve talked about we can run the business better and use our scale in a more efficient manner so we have organically grown North America this year. If you look at Europe over the last three or four years there is lots of organic growth built into that business, whether we launched new festivals, sponsorship, etcetera. The foundation to our business is simple, we have an incredible network around the world of 90+ offices in now 19 countries, 150+ venues, 10,000+ concerts. The great news is if you tried to replicate our network right now it would cost you billions of dollars, if you add up all of the [inaudible] and Clear Channel dollars combined, our platform is incredibly deep, very hard to replicate. Now what we’ve got to do is take that beautiful platform now that the artist is so centered around his live show and what business lines can we enter that are complementary and driven from those 10,000 concerts or 1,000 artists and we believe that the two that we have outlined are the organic growth drivers that will unlock value. You can’t be in the ticketing business like we’re going to be next year if you don’t have 20 million tickets and 10,000 shows. You can’t do it without the scale. You can’t be a destination website if you don’t the scale we have so the great organic unlock that we will do is the idea that we will take our incredible core business 10,000+ shows, 20 million tickets and 1,000 artists and launch a ticketing company that ranks us number two or three in the world overnight added by the fact that we are supplying third party customers with 20, 30, 40, 50 shows a year where we would already be their number one business partner at venues around the world we think we’ve got an incredible opportunity to consolidate the value chain by moving into ticketing, servicing our self and make more money but really unlock new venues and new customers. So every new customer we add to our portfolio next year is incremental revenue at low cost. So that’s the great revenue story for us. We know that that model works, we know that content plus tickets is powerful. We don’t want to be a sports ticketing company. Ticketmaster is an incredible big company, they do a great job but we bring a sweet spot. If you’re a music venue in North America or the world like those 600+ that we are probably already the largest supplier, if you’re a music venue and we’re your best friend because we’re bring you Madonna and U2 concerts, we may be able to be an alternative ticketing option for you also and we don’t need a big market share to make a difference in our business. So that’s where the huge unlock happens next year and I think you’ve seen some market reactions following our strategy as a bit of validation of that. And then the second is just we have 1,000 artists and we didn’t do anything with them. We collected their ticket and sold them a beer for the last 10 years and there’s a sweet spot right now where artists are waking up and their historic business partner, the labels, are having a tough time on refiguring their business model and when you’re spending $1.5 billion a year on artist fees directly to those artists 80 shows a day we settle around the world at midnight in the dressing room we’re writing an artist a check every night. Incredible close relationship with artists. It would only make sense when you’re in that dressing room at midnight after the show that you start talking about why don’t we do your concert t-shirt for you, hey I think we can run your website around your tour better, I think we can drive sponsorship value for you, I think we can get your next single distributed uniquely around the world with a different corporate partner. So if we can capitalize on our 1,000 artist relationship and go build the structure which we did already we’re not asking for anything free. We believe we have the most integrated service platform in the world now. We can gain more revenue by our large concert relationship and we believe that we can enter into the ticketing business and start talking to those 45 million consumers directly and understanding them and selling them and marketing to them which then has that halo effect back in our concert division on how do we market shows, can we be more efficient, do we know them better.
Tuna Amobi - Standard & Poors: Very helpful, thank you very much.
Michael Rapino: Thank you operator, thank you everybody for joining us today.
Operator: This now concludes this evening’s conference call. You may now disconnect and have a wonderful evening.